Operator: Good day, and welcome to the Edgewell Personal Care Q2 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Chris Gough. Please go ahead.
Chris Gough: Good morning, everyone, and thank you for joining us this morning as we discuss Edgewell’s Second Quarter 2020 Earnings. With me this morning are Rod Little, our President and Chief Executive Officer; and Dan Sullivan, our Chief Financial Officer. Rod will kick off the call, and he will hand over to Dan to discuss our results, and we will then transition to Q&A. This call is being recorded and will be available for replay via our website, www.edgewell.com. During the call, we may make statements about our expectations for future plans and performance. This might include future sales, earnings, advertising and promotional spending, product launches, savings and costs related to restructurings, changes to our working capital metrics, currency fluctuations, commodity costs, category value, future plans for return of capital to shareholders and more. Any such statements are forward-looking statements, which reflect our current views with respect to future events. These statements are based on assumptions and are subject to various risks and uncertainties, including those described under the caption Risk Factors in our annual report on Form 10-K for the year ended September 30, 2019, as may be amended in our quarterly reports on Form 10-Q. These risks may cause our actual results to be materially different from those expressed or implied by our forward-looking statements. We do not assume any obligation to update or revise any of these forward-looking statements to reflect new events or circumstances, except as required by law. During this call, we will refer to certain non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures are shown in our press release issued earlier today, which is available at the Investor Relations section of our website. Management believes these non-GAAP measures provide investors with valuable information on the underlying trends of our business. With that, I would like to turn the call over to Rod.
Rod Little: Thanks, Chris, and good morning, everyone. I’m leading this call today from my home here in Fairfield County, Connecticut, and Dan is similarly at his home and is prepared to jump in should I have any technical difficulties. Our executive leadership team and office staff had been working remotely for nearly two months now, and we are all doing our part to social distance and help prevent the spread of COVID-19. I will begin my remarks by providing an overview of the company’s response to the COVID-19 outbreak, followed by a brief discussion of the progress we continue to make on our strategic initiatives, and I’ll end with a few comments on the second quarter and current business trends as well as the likely near and medium-term implications for our business. Then Dan will review our financial results in more detail and also provide a framework for how we are approaching the back half of the year. First and foremost, our thoughts today are with all of those impacted by this pandemic and we are deeply grateful to our brave medical professionals, first responders and essential workers for their tireless dedication during these extremely challenging times. At Edgewell, our focus during this time has been on three key priorities, which are: first, the health and safety of our associates; second, ensuring the continuity of our business operations; and third, managing the business in a disciplined and balanced manner. First, the health and safety of our associates has been and will continue to be our number one priority, and we have swiftly implemented advanced protocols to protect them. With our people first mindset in the early days of the COVID-19 pandemic, we were quick to implement business travel bans across the company, initially with international travel and then including domestic travel as the situation evolved. We also made the decision early to close all non-plant locations and to move to remote work for all of those who were able to do so, in most cases, well ahead of local guidelines and requirements. Leveraging our strong suite of collaboration tools and broader technology platform and our existing flexible work policies, the transition to working remotely was largely seamless with no material business disruption. Along the same lines, we took swift – we swiftly took the necessary steps to ensure our manufacturing plants were safe for our associates still coming in every day. Many of the products we make are essential to our consumers, especially during these unprecedented times, and we take very seriously our obligation to ensure that our team members on the front lines are working in a safe environment. We implemented enhanced safety protocols in our facilities around the world, in line with the CDC and other governmental guidelines. We heightened cleaning and disinfecting policies, required the use of PPE, adhered to strict social distancing and installed thermal scans upon entry and exit of all plants. In the U.S., we implemented our emergency pandemic leave policy, which guarantees pay for up to 12 weeks, allowing our associates to make informed decisions for themselves without having to use paid time off. These efforts, combined with our additional safety precautions have so far restricted any spread of the virus within our facilities. Turning to our second priority, which is ensuring the continuity of our operations. We were initially faced with the challenges of COVID-19 in early January, given our manufacturing operations in China. And our successful efforts there in developing robust operational mitigation plans and necessary contingency plans served us well as the virus spread. Requiring we address our operations around the globe. In all markets, our teams have maintained close contact with local governments and authorities to manage our status as an essential business and work to ensure uninterrupted operations. Additionally, the teams have enhanced product quality, regulatory and safety assessments, proactively addressed and managed potential vendor supply risk and develop and implemented strategic inventory reallocation plans. I’m happy to report that due to the diligent work of our operations leadership, all of our global manufacturing plants and distribution centers remained open and fully operational. At Edgewell, we are a values-driven company, and we know that our products directly impact the quality of life of many. And we recognize that we also have a responsibility to the larger communities we serve. Wet Ones, the number one brand in the hand hygiene segment, is playing an important role in improving hand hygiene and cleanliness, and we are proud to help support those most in need. With product donations to organizations such as the American Red Cross, Feed the Children and numerous homeless shelters where the need is significant. Additionally, we are honored to show our support and appreciation for our frontline responders with product donations to various police, EMT, fire and medical groups across the globe. Through our brands and in partnership with many in our retail – many of our retail partners, we have supplied thousands of healthcare workers with Wet Shave kits as many hospitals are now requiring men to have a clean shave as part of proper mask safety protocol. And finally, we have donated moisturizer from our Hawaiian Tropics line to nursing staffs whose hand suffer from the increased sanitation routines. Moving to our third priority. We continue to manage the business in a highly disciplined and balanced way. This means making the right choices and focusing on key priorities that are most relevant in the near-term during this uncertain and rapidly evolving period, while continuing to make progress on the strategic priorities that will drive our long-term success. To preserve our financial strength, we are closely managing discretionary spend, reassessing the effectiveness of some trade investment and brand support, including advertising and promotional activity and reprioritizing all planned capital investment. Our balance sheet is healthy and we successfully increased our liquidity with the recent refinancing of our revolver, which we announced earlier in the quarter, and Dan will elaborate on our increased focus on liquidity shortly. As we navigate these uncertain times, we are also preparing for a post-COVID-19 environment, and we remain focused on the strategic priorities we discussed last quarter, which include: first, innovating and building brands consumers love. We are continuing to build out our capabilities across our R&D and commercial organizations. And I’m excited by the significant steps we have taken to become more consumer-centric in the development of our innovation pipeline. As I indicated last quarter, continuing to add top talent in critical roles remains top of mind for us, and we are progressing well in identifying key successors in roles across our commercial organization, including the new President of North America business and key leadership roles across our digital and e-commerce organization. More specifically, with respect to the President of North America role, we have been very pleased with the caliber of candidates, and we are in the final stages of the process. I look forward to being able to announce this appointment in the coming weeks. Second, we are building strategic partnerships with most important retailers to win at the shelf. As we’ve seen over the past month, strong collaboration and partnership are essential to maintaining enduring, mutually beneficial relationships with our key channel partners. As I spend more time with many of these key trade partners, I’m encouraged by their continued support to strengthen the Edgewell portfolio of brands. Third, we will continue to drive efforts to strengthen our competitiveness through Project Fuel. Maintaining our focus on generating efficiencies that, in turn, enable continue investment in growth opportunities. Fourth, as I mentioned earlier, we will continue to maintain a strong balance sheet. Deploying our healthy free cash flow in a balanced and disciplined manner. This financial strength gives us flexibility as we navigate a potentially challenging demand environment in the near-term. Lastly, and most importantly, our people are foundational to our success. Talent profile and work environment for our employees are critically important. Little did we know a quarter ago how present our focus on this priority would prove to be. We will continue our commitment to creating a culture that attracts and retains world-class talent and drives engagement among our team. Before handing over to Dan, let me make a few comments on the second quarter and current business trends. Overall, the second quarter played out largely as we had expected, with broader performance strengthening year-over-year. Excluding estimated COVID-19 impacts, the business continued a flattish top line trend with gross margins continuing to strengthen. Our organic top line results were boosted by strong sales in Wet Ones, where we expect higher demand to continue for the foreseeable future. And by consumer stock up in Feminine Care, where, again, we continue to see solid performance through April. As you know, we had already strategically determined the importance of these two categories to our business, and we were investing behind these brands. As COVID-19 creates added consumer focus on overall personal hygiene and likely drives consumers to turn to established brands they can trust, we are well positioned for sustainable success. In Wet Shave, our results are largely in line with our expectations. However, within this segment, there was softness across our Asia Pacific region, as COVID-19 negatively impacted the results earlier in the quarter, which was mitigated by modest consumer stock up in the United States in the month of March. In Sun Care, we began to see customers cancel some March orders, and we have seen further order delays in April. As a result, we see continued increases in demand for Wet Ones and our Feminine Care brands, but we do expect softness in Wet Shave and Sun Care in the near-term. Given the lack of visibility and a wide range of outcomes for the remainder of the year, we have withdrawn our guidance. More broadly, despite the near-term challenges in Sun Care and, to a lesser degree, Wet Shave, we continue to believe that we are well positioned in this environment in longer-term. The effects of this pandemic have been devastating to so many, and we are moving as quickly as possible to meet the changing needs of consumers that this environment has created. As I mentioned earlier, we will be among the beneficiaries of increased consumer focus on health and hygiene and our continued investments in expanding our digital capabilities will serve us well, given what we believe will be an accelerated and lasting consumer shift to e-commerce. Environments like this require efficiency and agility and we have made great strides in these areas in my first year in the role. Before turning the call over to Dan, I want to thank our team across the entire company. Our people are our greatest asset, and I am so proud of the resiliency and commitment of our team members, especially those in our manufacturing and distribution centers, who have worked courageously and tirelessly to ensure that we remain fully operational during these challenging times. And now I’d like to ask Dan to take you through our fiscal second quarter results and discuss how we are approaching the second half of the year.
Dan Sullivan: Thank you, Rod, and good morning, everyone. I hope you’re all healthy and safe as we navigate this global crisis together. And I’d like to add my personal gratitude to our teams around the world for their dedication, commitment and resiliency in ensuring that our business remains fully operational during the most challenging of times. I’ll start my remarks by spending a few minutes reviewing our quarterly results, then I’ll discuss the steps we’ve taken to ensure ample liquidity for the business given this environment of uncertainty, before concluding with some thoughts on the second half of the year. As Rod said, overall, the quarter played out largely as we had expected in terms of both top and bottom line performance, although the path there was fluid and challenging. Through February, we were well positioned to organically outpace our own internal revenue and profit forecast for the second quarter, with evidence of stable to improving top line performance across most categories and geographies. At that time, we anticipated another solid quarterly result, reaffirming our expectation that we would deliver on our full year guidance for fiscal 2020. In the last month of the quarter, we saw COVID-19 related disruption build across our international markets, muting demand; while later in the month, in North America, we began to see the benefits of retailer stock building and consumer pantry loading, mostly in our fem care and Wet Ones businesses. In the quarter, our underlying top line results demonstrated the further stabilization of the business that we’ve seen now for four consecutive quarters. Adjusting for the demand surge related to COVID-19, our underlying organic sales performance was flat, consistent with recent trends and our previous outlook. Gross margin, excluding currency, the Infant and Pet Care divestiture and the increased supply chain headwinds related to COVID-19 increased about 50 basis points. Adjusted operating income increased $3.1 million, excluding the nearly $6 million impact from the Infant and Pet Care divestiture. We remain disciplined in our Project Fuel efforts to drive cost savings and increase efficiency across all areas of the business. And in the quarter, we realized over $18 million in gross savings. And cash from operations through half one was nearly $50 million higher than over the same period a year ago, largely driven by improved working capital performance. So while the path forward contains clear uncertainties, especially in the near-term, the underlying fundamentals of our business continue to strengthen and our efforts to become a stronger, more agile operator continue to gain traction. Now I’ll turn to the detailed results. Organic net sales in the quarter increased 2.4%. Excluding estimated increases due to COVID-19, as mentioned, sales were essentially flat. Organic net sales in North America grew 5%, driven by strong performance in Wet Ones, fem care and men’s grooming. Sun Care sales increased modestly, while Wet Shave declined just over 3%. On an underlying basis, excluding COVID-19 tailwinds, we estimate that organic sales in North America were flat. International organic net sales declined 2% in the quarter, largely driven by COVID-19-related headwinds across our broader Asian markets, but was up 1% on an underlying basis. Europe and Latin American markets both delivered increased sales in the quarter on a reported and run rate basis. E-commerce sales grew 63% in the quarter, reaching about 6% of total net sales with growth on the Amazon platform of 80%. As we continue to build our capabilities and focus in this channel, we obviously also benefited from the consumers’ efforts to pantry-load as part of COVID-19 responses. Looking at performance by segment. Wet Shave organic net sales declined 3.5% in the quarter, driven by volume declines in men’s systems and unfavorable price/mix in disposables. Partly offset by volume growth in women’s systems and disposables. For Wet Shave, COVID-19 was a slight negative to overall organic sales, although more impactful internationally, with declines in Asia, partly offset by consumer stock up in North America. Volume growth in women’s was driven by our new Skintimate disposables offering as well as Private Label. In fact, Private Label in aggregate grew high single digits in the quarter. From a geographic perspective, North American Wet Shave declined 3.4% and continued to face competitive pressure, with share losses in the quarter, largely a result of distribution losses at Sam’s Club and a decreased overall promotional level year-over-year. International Wet Shave declined 3.6%, although was flat on an underlying basis. Europe remained resilient and continued its recent trend of stabilized Wet Shave performance growing just over 1% on an underlying basis. Our market-leading shave preps business performed well and gained over 1 point of market share, and our Disposables and Private Label businesses broadly held share in the quarter. Sun and Skin Care organic sales increased almost 9%, driven by strong demand for Wet Ones, which was up $11 million or 80% over the prior year period, and up over 30% on a run rate basis. In terms of consumption, Wet Ones experienced triple-digit growth across all channels, drove 11 points of share gains in the consumer hand sanitizing wipes category and now accounts for the top seven SKUs in the category. Here, our commercial focus on the drug channel and efforts to drive expanded distribution and strong secondary displays were further augmented by the tailwinds associated with COVID-19. Men’s grooming increased 10% with solid growth in both Bulldog and Jack Black. Sun Care organic net sales were essentially flat or up 2% on an underlying basis as favorable pricing was offset by lower volumes. And in terms of consumption, both our Banana Boat and Hawaiian Tropic brands held share in the quarter. Feminine Care organic sales increased nearly 14%, largely driven by stock-up related to COVID-19. Excluding those increases, sales were down about 1% in the quarter, which was slightly better than our expectations. In terms of consumption, fem care was up 16% and held share in measured channels, while gaining a point of share on Amazon. Gross margin increased 60 basis points year-over-year to 46.5%, excluding the impact of the Infant and Pet Care divestiture, currency and onetime costs associated with COVID-19, underlying gross margins increased 50 basis points, which was slightly stronger than our expectations. In the quarter, gross margin benefited from stronger pricing in Sun and continued Project Fuel savings, partly offset by unfavorable product mix. A&P expense this quarter was 9% of net sales as compared to 8.8% of net sales in the prior year period. Excluding the impact from the Infant and Pet Care divestiture, A&P spending increased about 4% compared to the prior year period. However, spending was well below our internal forecast in the month of March as we began to meaningfully shift spend in reaction to COVID-19. SG&A, including amortization expense, was $121.5 million or 23.2% of net sales as compared to 18% of net sales in the prior year period. Excluding the impact of restructuring related charges, Harry’s transaction-related costs and other non-recurring charges, SG&A as a percent of net sales decreased 10 basis points, driven by lower compensation and equity expense and Project Fuel savings, which were mostly offset by higher bad debt expense. Other expense net was $10.9 million of expense during the quarter compared to $2.7 million of income in the prior year period. The increase in expense was largely COVID-19-related as we saw a significant devaluation of local currencies in several key countries in Latin America, Asia and Central Europe against the U.S. dollar, resulting in a revaluation of local balance sheet exposures. Some of the key exposures driving loss were devaluations against the dollar from the Mexican peso, Czech koruna, Australian dollar, Chilean peso and Colombian peso. GAAP diluted net earnings per share were $0.36 compared to $0.89 in the second quarter of fiscal 2019 and adjusted earnings per share were $0.92 compared to $1.13 in the prior year period. Constant currency organic EPS grew 12% year-over-year. Net cash from operating activities was $17 million in the quarter as compared to a use of cash of $32 million during the prior year, reflecting improved working capital performance particularly in inventory management, and was partly aided by the increased demand associated with COVID-19. The company’s net debt leverage ratio is about 1.9 times, reflecting the business’ strong free cash flow profile, which brings me to the topic of liquidity. As you know, our business model is defined by strong operating cash flow generation and extremely efficient free cash flow conversion. As such, our liquidity position is very strong. To ensure that this remains the case, in light of the business uncertainty that’s in front of us, we’ve taken a number of important steps. We’ve accelerated our Project Fuel efforts to further enhance our focus on driving costs out of the business and reshaping our organization’s productivity, efficiency and agility. In the quarter, we realized about $18 million in gross savings and this is likely a good proxy for the remaining quarters of fiscal 2020. Additionally, we continue to assess all aspects of our business and investments in the near-term, and non-critical spend is being eliminated or deferred. This includes anticipated pullback across discretionary spend areas of the business and a reprioritized approach to addressing open positions based on greatest business impact. A&P investment is also being further refined with our focus being to find the appropriate balance of pausing on spend where market conditions likely impact overall effectiveness, while continuing to invest in our brands and with our trade partners, where execution can be expected to be reasonably high. We also continue to shift from more traditional brand spend to more digitally focused advertising and brand activation spend in an effort to drive greater productivity and efficiency. We’ve also evaluated our CapEx spend for the balance of year, prioritizing only those investments that are business critical. And as a result, we anticipate CapEx will be well below the historical levels of about 3% of net sales. As a reminder, maintenance capital expense is typically about 1/3 of our annual CapEx spend. And finally, as we disclosed earlier in the quarter, we successfully refinanced our $425 million revolver, leveraging strong relationship banks and securing additional liquidity for the business. With the revolver now in place and over $300 million of cash on hand, we are very well positioned to weather the potential near-term challenges associated with COVID-19, while also ensuring that we take the appropriate steps in becoming a stronger competitor moving forward. We have $600 million in debt coming due in May 2021 and $500 million in May 2022. And given our strong liquidity position as well as the emergence of a more structured and productive debt market, I feel good about our ability to proactively address these notes and further reinforce our liquidity position should we decide to do so. And finally, I wanted to provide some brief perspective on the near to medium-term outlook for the business. We will continue to operate with a balanced perspective on both top and bottom line as we consider both risk and opportunity. And as Rod stated earlier, we have also been focused on ensuring overall business continuity with the development and execution of robust contingency plans. To date, all of our manufacturing facilities and distribution centers are essentially fully operational. However, the lack of visibility and continued uncertainty in terms of the magnitude and duration of the pandemic has led us to suspend our forward-looking guidance. This uncertainty spans consumer demand, the potential impact on our global supply chain as well as the likely increased volatility in the currency and commodity markets. And I’d like to touch on each of these briefly. As we assess consumer demand in this COVID-19 environment, we anticipate growing headwinds in our North American Sun Care business, particularly in the event of a prolonged impact the summer travel and holiday season. To date, we have seen strong execution in the category across channels and no initial indications of any changes in retailer focus or prioritization, which is very encouraging. As we discussed last quarter, after successfully executing a price increase on both our core brands, we were pleased with the final shelf sets with key retail partners, and we remain well positioned in terms of shelf presence and availability, but the initial portion of the Sun Care season is highly uncertain. In Wet Shave, while there is some belief that this work-from-home environment could potentially lead to short-term changes in men’s shave regimen, we see this as short-term. And we also know that our Disposables and private brands businesses have us positioned well across quality and value price tiers, which have historically been key assets for us in challenging economic environments. We are also very encouraged by the growth we’ve seen across both our fem care and Wet Ones businesses, and we’re well positioned to capitalize on the consumers’ ongoing focus on health and personal hygiene. And both of these categories likely offer some offsets to the potentially challenging Sun Care environment, I described earlier. More specifically on Wet Ones, we’ve taken the appropriate steps to meaningfully increase manufacturing capacity, which will come online in mid-summer. We also believe our focus on enhancing our e-commerce capabilities and the consumers likely increased preference for established and dependable brands they trust will serve us well moving forward. We’re navigating this environment with the health and safety of our team members as our number one priority, and this is reflected in the actions we’ve taken company-wide. As a result, across the supply chain, we expect to see some further cost pressure, which is only partially offset by our Project Fuel work and other tailwinds. Given the evolving nature of the pandemic, there is also the potential for further supply chain disruption and the shifting revenue mix dynamics that I discussed earlier may have margin implications. All of these factors likely create some gross margin headwinds in the near-term environment. Finally, we’ve seen extreme foreign exchange and commodity cost volatility, and we expect this environment to continue. In the quarter, FX moved against us by approximately $0.22 per share. And while we do anticipate some mid-term benefit in commodity costs, largely as a result of the decline in oil prices, it’s unlikely we’ll be able to fully offset further FX headwinds with lower commodity costs in this fiscal year as it takes about four to six months for such movement to run through the P&L. During this environment of uncertainty, we’re taking the appropriate steps to reduce costs while supporting our strategic priorities, with both the right level and optimal mix of brand investments to deliver increased online activation and support. I’m confident we are making the right decisions as we balance liquidity and financial flexibility considerations for the near-term with appropriate prioritization of investment to support our strategic growth initiatives for the long-term, all to ensure we emerge from this challenging time as a stronger and more viable competitor. And with that, I’d like to turn the call back over to Rod for final comments before we begin the Q&A.
Rod Little: Yes. Thank you, Dan. So in summary, we’re making significant progress with the business. We’ve moved the sales trends up by approximately 500 basis points over the last two years with improvement in every segment and every geography. We’ve gone from a period of gross margin declines to having flattened gross margin and even seeing growth in the recent quarters in our margins. We’ve continued to be highly disciplined across cost and cash as we manage the business. We’ve divested the Infant Care business, which was a non-core asset. We’ve taken those proceeds to pay down debt, which has left us with a very clean balance sheet, with net debt-to-EBITDA ratio now less than 2 times, as Dan pointed out. We have a better team across the board, and we’re seeing better execution and better focus on the fundamentals, which is improving our performance and results. And we’ll continue to lean in on investments as we build better brand messaging, bring better innovation to market. And we’ll continue to make incremental investments to build our digital capability. All this said, we’re not where we want to be in market, in some cases, with our results, particularly here in the U.S., but we’ve made significant progress with the business, which gives us confidence moving forward. So with that, operator, we’ll move to questions.
Operator: [Operator Instructions] Our first speaker is Dara Mohsenian from Morgan Stanley. Please go ahead.
Dara Mohsenian: Hey, good morning, guys. Hope all is well. So the forward commentary was helpful by segment. Can you give us a bit more of an update on the overall corporate sales trends in April, perhaps? And then two specific questions. On the Wet Ones side, obviously, very strong consumer demand, as you mentioned. Can you discuss capacity constraints and ability to supply that business in fiscal Q2? And you mentioned the increased capacity in the summer, how substantial could that be as we look at fiscal Q3 and going forward? And then on the Sun Care side, just sort of curious as you look at fiscal Q3 specifically, was the retail sales weakness sort of fully reflected in shipments in Q2? Or is there a bit of a hangover as you look specifically in fiscal Q3 for the Sun Care business?
Rod Little: Hey Dara, thanks for the questions. Let’s start with April, we’ll take these in order. On April, if you look primarily across Western Europe, in the U.S., in Canada here and even in the Latin America, it was the peak month of the lockdown. If you think about people’s movement and being out in retail, and what you’re seeing in scanner trends in measured channels across all those markets. April was a pretty negative month in our bigger categories in Wet Shave and Sun Care. But it’s only a data point. I think as we exit April and look at the start of May here, we’re seeing improving trends already. And in fact, in some cases, in the last week, in those two bigger categories, we’re actually have seen growth in year-over-year period. And so it’s – I wouldn’t look at April as a proxy for the quarter. It’s a snapshot. We’re not going to comment on the specific numbers in April, but it was down for the reasons Dan outlaid in his commentary. But again, we see solid performance continuing in April across Wet Ones and fem care. Dan referenced, our Sun Care setup for the start of the season is in very good shape. In terms of our presence at retail, our activation off shelf and Islanders and end caps was really good and year-over-year better. And as we’ve talked to retailers, this is your third question, getting into Sun Care. We’re optimistic on the season in total. It’s going to play out very differently. We talked about shipments being moved out of March. To a certain extent, the same thing happened in April, but people are still going to be outside. And we’re changing our messaging away from a beach orientation and occasion more to every day, fun in the sun, at home with your family, in the backyard or in a park or going for a walk. And so as we talk to retailers, they’re still very committed to the season and looking at activating the category for a longer period of time, more into the middle and potentially into the summer. And so we’ll have to wait and see on that. But again, I think we feel really good on our own execution on that category. Then to your second question on Wet Ones, capacity constraints. We are capacity constrained at the moment. And we have been and we’ve been on allocation since the beginning of March. In working through those allocation routines, we’ve moved quickly to secure additional capacity and are making investments to bring additional capacity online as of the summer, as Dan said, and that’s in our own manufacturing plant in Ohio, where we produce the global volumes. And we’re also looking at third-party supply arrangements, in some cases, to add to that. We see huge potential for this brand. It’s the number one brand with a 62 share today. We’re up 11 points in some of the most recent share readings. And so this is a brand consumers need, and we think we’ll continue to need for a long time.
Dara Mohsenian: Okay. That’s helpful. And can you give us some sense of magnitude for the production increases this summer, how significant it is versus your existing footprint? Thanks.
Rod Little: Yes. Dara, we can’t comment on that specifically.
Dara Mohsenian: Okay. Thanks, guys.
Rod Little: Thank you.
Operator: The next question comes from Nik Modi from RBC Capital Markets. Please go ahead.
Nik Modi: Yes. Good morning, everyone. I hope everyone is staying safe and healthy. Rod, just a question. I mean, obviously, things are a bit volatile right now and category growth is all over the place. But can you just talk about – you made a comment about February, you’re seeing some improvement in the business, and you’re actually performing better than your internal plan. And I guess the question a lot of people are asking for every company is how is company A going to exit this pandemic? Are they going to be in a stronger position? Not have a stronger position? So I was hoping you can just provide some context around what you’re seeing in the business that would lead you to believe that you’re going to be in a stronger position when you come out of this. And then the second question is just – I know you’re doing a lot of kind of brand rearchitecture work. I’m just curious where you are in that process right now. Thanks.
Rod Little: Yes. Thanks, Nik. Good morning. We’re very confident that we’ll exit the pandemic in a stronger position. We think there’s some structural changes in consumer behavior. They are going to be lasting and durable that benefit us in the personal hygiene space, as we’ve talked about with not only Wet Ones, but our fem care business. I think we also feel like the disruption in the short run that does hurt Sun Care in the short run potentially, we get behind that as we move forward. And also within Wet Shave, there’s a period of time here in a work-from-home environment or people being locked down where the shave incidents are just going down, and that’s a fact. And so that is what it is. That’s not something that we see as a continuing – something that continues at the level we’ve seen in the lockdown. We think that goes back to normal. And cyclically, we’re at a pretty – in a position there anyway with the relative facial hair and shave incidents. So moving forward, we expect that to come back to normal. So if you take the overall category profile with a Wet Shave business that’s essentially flat globally, a Sun Care business category wise, that’s positive, a fem care business that’s slightly positive and a Wet Ones personal hygiene business category wise that’s positive, and we take our own improvement in fundamentals and how we architect and build our brands and make ourselves stronger through this, we think with that category slate, a clean balance sheet, a better team and stronger fundamentals, that we’re in a very good position to come out of this in a much stronger way. On the brand architecting piece of this, we spent a lot of time to look at the consumer segments, the demand segments and overlay our brand portfolio against that, primarily in Wet Shave. And we know we’ve had an opportunity to better architect our portfolio and build brands against tighter consumer targets that have better messaging and offer better value by segment. We are well down the path on making that happen. It’s a combination of better targeting and brand positioning across those consumer segments. It’s better packaging. It’s better product design. All the messaging that goes with that. And I think you’ll start to see that really show up as we come into the 2021 planogram sets, and we’re talking to retailers about that now. And so I would say that’s not something that particularly is going to give us tailwinds here in the second half of this year, but it certainly sets us as we move into 2021 to be in a better position across not only the Wet Shave business, but also how we think about our Sun Care business.
Nik Modi: Very helpful. Thank you. I’ll pass it on.
Rod Little: Thanks, Nik.
Operator: The next question comes from Jason English from Goldman Sachs. Please go ahead.
Jason English: Hey, good morning, folks. Thank you for taking my questions.
Rod Little: Hey, Jason.
Jason English: I think you mentioned, I may have missed this because I was running late. Did you say your Private Label sales are up 9% or something of that magnitude in North America this quarter?
Dan Sullivan: Yes. As we said, up high single digits.
Jason English: High single digits. Maybe I might have scribbled 9% in hopes that it was that high, okay. The high single-digit growth. When we look at the Nielsen data, we don’t really see that sort of momentum in that channel. So I guess my question is, are you capturing share from other private label suppliers? Or is this growth you’re seeing in unmeasured channels?
Dan Sullivan: Are you asking specifically about Private Label?
Jason English: Yes, I am.
Dan Sullivan: Yes. Sorry, our best estimate is unmeasured. In measured channels, we – our best estimate is that we held share in the quarter.
Jason English: Okay. And then my last question, and I’m going to continue to stay on Private Label, not just to beat this one. In the last economic downturn, we saw Private Label capture a lot of share. I think it worked to your benefit in terms of your aggregate share position in the market. However, as we go into this downturn, the market structure is a little bit different. We clearly have Harry’s with a much bigger presence out there at a lower price tier, and P&G has kind of pushed down a little bit and sharpened some of their relative price points. As you assess the market and you contemplate kind of the forward, do you believe that your Private Label business is likely to gain share? Or given the market structure changes, maybe doesn’t see the same type of tailwinds this time around?
Rod Little: Jason, I think your point is a good one on the market structure being different, that for the longer-term health of the category, that’s probably a good thing in terms of how we compete across the different tiers. We do expect a combination of Private Label and Disposables to be an area where we have particular strength. It’s not only on the retailer relationships and the shelf sets. As you know, we have a very high share position of Private Label here in the U.S. Part of that’s driven by excellent retailer relationships on that front. But a big piece of it is we bring better technology than anyone else has to this segment. And to a certain extent, you start to look at branded competition and we match or beat that technology in a private label format. So I think our view is that we see Private Label being flat at worst moving forward from a share position and in a position to move forward. And I think Disposables also has a role to play here if you look at the combination of where share is going to go. If you look backwards and project that forward here, even in a different structure, we would expect that.
Jason English: Thank you, very helpful. I’ll pass it on.
Rod Little: Thanks, Jason.
Operator: The next question comes from Bill Chappell from SunTrust. Please go ahead.
Bill Chappell: Thanks. Good morning. Hope you all are well.
Rod Little: Hey Bill, good morning.
Bill Chappell: Just maybe a little bit what you’re hearing from the retailers as we’ve moved into April and May on the Sun Care side. I mean, I understand now you’re changing your positioning. But I mean, have orders started back as you’re seeing states open? Or is there going to be a backlog of shipments that happened this quarter? Just trying to understand how you’re seeing it play out over the next kind of couple of months.
Rod Little: Yes. So thank you, Bill. There’s no playbook for this. We can’t look back to an event like this and try to predict what happens from here. But if you look at what we know today, the back half of March and in April, the bulk of April were quite negative. You can see the scanner data. In some cases, the category was down 50%, 60% as a category. We saw that start to change and shift in the latest week, for example, the category moved to flat to even slightly up. And so what happens moving forward, I think, is unknown. And certainly from week-to-week, it can depend on what happened in the prior year around promotional sets or weather and things like that. But I think we see us being through the worst part of that from a trend standpoint. And as we do start to open back up, certainly down there where you are, people are getting back outside, we’re seeing geographically a more return to normal if you look by geography and what’s happening. What I will tell you, though, is in that environment, retailers are fully committed. So they bought in. They may be shifting the timing of when they take the inventory of the floor because they, frankly, needed space for other products through the month of April. But as that now shifts and we get back to normal, we have all retailers fully committed to the season. Our execution by our teams has been very, very good. And if you go back over the last five to six weeks, we’ve actually grown share in that environment behind the execution. And one thing I’ll also remind you of is we are the only player here that has a direct store delivery network that can take these high-volume areas and keep shelf stocked and be agile and nimble when things do come back online. And so I think from a capability standpoint, we feel good. Retailers are still committed. It’s just going to come in differently across the season.
Bill Chappell: Got it. And then you were one of the rare companies to actually try to quantify the COVID demand impact in the quarter. Just trying to understand on – is that largely viewed as because you were on allocation for Wet Ones, is that largely in the Feminine Care side? Or is that across different categories? Because – and maybe a follow-up of how much of Wet Ones is commercial versus sold at retail?
Dan Sullivan: Yes. I’ll certainly take the first part of that conversation. When we looked at quantifying COVID impact, we looked at it by category, by geography. And as you can imagine, it plays out very differently through that matrix. We looked at it on a combination of sort of data and science. So 4-week, 8-week, 12-week trends, we’ve looked at it in terms of our own internal forecast and then we looked at it in terms of orders and what we saw as March, and particularly in North America, played out. So we have a reasonably solid estimate of how it played out by category, by geography. Certainly, Wet Ones was a big beneficiary of it. But we – as we said in our prepared remarks, we estimated 30% organic growth from that category. And as I said in my part, over 80% in total growth. So we looked at it by category and by geography to understand the impact.
Rod Little: Yes. And Bill, on the second one and I guess, the spirit in which we’re doing this, Bill, around the COVID impacts and trying to capture that, we’re just trying to be transparent to break out underlying trends versus what’s either onetime or what’s a move and shift between quarters. I mean that’s one of the things Dan and I’ve talked about. We’re committed to transparency in how we do this. And so that’s what’s behind that. On the Wet Ones opportunity, Wet Ones today is primarily all a retail business. There’s a big opportunity, as you might imagine, in the commercial business-to-business space with the leading brand that can make claims like we can make in this environment to have a branded right product out there in some new locations in a commercial environment is certainly an opportunity we’re looking at as part of our thinking as we think about capacity over time as well.
Bill Chappell: Great, thanks. Stay safe.
Rod Little: Yes, thank you. You too.
Dan Sullivan: Thank you.
Operator: Next question comes from Olivia Tong from Bank of America. Please go ahead.
Olivia Tong: Great, thanks, and good morning. You touched a little bit on this already, but I want to talk about the conversations you’re having with your retailers and how they’re thinking about your categories now discussions on products they want in the shelf and the assortment they’re gearing towards. Because obviously, the question is focused on shaving and Sun categories. It’s great to hear that the retailers made focus, but how is what they’re putting on shelf changing? You talked about Sun and how you’re focusing more on backyards and sort of day-to-day. As you think about what products they’re shelving, margins around that and how they’re thinking about in-caps and things like that with no beach opportunity? Thanks.
Rod Little: Yes. Hey, good morning, Olivia, thank you for the question. This is a good one. I mean we’re seeing the environment change at retail beyond just the Sun Care-specific play here. More broadly, as retailers look in their model and to leverage digital in the online piece of this, online grocery pickup to their own .com sites that deliver direct to home. With the growth in that area and really moving forward at a rate that moves some retailers forward two, three, four years in their projection on that area, to manage that, there’s less room in the back of a store at some point, which then limits inventory and spread of inventory they can carry. And so the biggest thing we’re seeing is a real trend back towards power SKUs. So the bigger brands, power SKUs, where the consumer is and wants, is going to get priority over a tertiary SKU potentially more at the tail. And so there’s – we’re seeing assortment tighten a little bit. I would expect that to continue as we work through this. I don’t think that’s one time. And so as we think about new products and new products coming in and the performance of new products need to bring at shelf, I think the bar is going to go up in terms of velocities that need to be delivered. And then within Sun Care, the bulk of the Sun Care sales for most retailers is done on in-cap and in-aisle display, so off the shelf. And I think that’s true across the board. And again, what we’re hearing is all the retailers are still very committed to those in-cap displays and in-aisle displays because they know that’s where the volume moves. And then the in-aisle is there, kind of as it was.
Olivia Tong: Okay. And then on expenses, can you just talk about some of the incremental initiatives you’ve put in place on operating expenses to protect profitability. You talked about some of the changes to whether it’s hiring freezes, whether it’s marketing changes. Obviously, you’ve reiterated your Project Fuel expectations. So just as we think about the next couple of quarters and the actions you’re taking, when do you think that you start – what’s temporary versus permanent first? And then when do you think that you’ll start potentially looking at greater support in some of these categories?
Dan Sullivan: Yes. I’ll take that one, Olivia. Thank you. I think you have to sort of separate our thoughts on cost into the two categories as you mentioned. Structurally, we continue to perform really well with Fuel. And as you know, it’s a three-year program. We’ve begun to bring a lot of the initiatives that we had scheduled back half of this year, early next year. We brought them forward. It will still take time to realize. But the point being that we’ve increased our focus and attention on structural efforts here around manufacturing productivity, labor optimization, et cetera. So that work continues. It hasn’t changed our view of Fuel for the year, but we will start the work earlier and hopefully get to run rate on those savings faster. There’s the second piece of work, which I would call more opportunistic, which is really around discretionary savings, around pulling back in non-core critical spend, around really being thoughtful in FTEs and open headcount and the like and really prioritizing. And that’s part of day-to-day for us, but we’ve accelerated those efforts in light of this environment. I think the third piece, which you started to hit on, is around just investment behind the business and behind the brands. And we are not in pause mode here. We’re certainly not in thinking about pushing spend off. If we think we can execute well, if it’s highly productive spend behind key brands, key initiatives, Sun and the like, as Rod mentioned earlier, we’re going to lean in there where it makes sense. We’re just going to be really thoughtful about it. So you might see areas of our portfolio where we will lean back for reasons around execution and impact, and you would likely see us lean in commercially in certain areas as well. And that’s all around flexibility and adaptiveness for us.
Rod Little: Yes. And Olivia, I would add a couple of things here. I mean, again, our confidence going forward in the future and the model suggests we should continue to invest despite what’s happening here. And so as we think about the short run, sales will go where they go here over the next three to six months. As Dan said, we’re going to continue to make investments that we think are smart and good for the long-term future of this business over the next three to six months, regardless of where that sales line is in the short run because of the confidence we have in the future. The other thing I would tell you is as we come through a period where we were blocked by the FTC on the Harry’s transaction, we were not sitting still in our base business of upgrading our leadership in North America. We talked about the new leader of that business that we are a couple of weeks away from announcing. There’s an investment there. There is – we’re making big investments across our digital capabilities. A new platform to go execute digitally and our DTC platforms is underway, a new structure, new incremental roles, upgrading capability. So there’s significant investment that we are putting into the business right now that, frankly, we’re accelerating in some cases because we have an opportunity to grab talent right now that wasn’t there 60 days ago. And so whether it’d be brand support or how we think about capabilities, we have our foot on the gas in many areas.
Olivia Tong: Thank you.
Rod Little: Thank you.
Operator: The next question comes from Kevin Grundy from Jefferies. Please go ahead.
Kevin Grundy: Hey, good morning, guys. I hope you’re doing well. Quick follow-up, Rod, just on the Harry’s comment. Because – and this is specifically with respect to Wet Shave. So the category dynamics are going to be challenging. We can see that in the Nielsen data. You commented on some of the priorities. How disruptive the fact that the Harry’s deal fell through? And naturally, with category planning and strategies in place with a broader portfolio, how disruptive was that to the outlook for this year? The fact that you kind of had to pivot and then it becomes more sort of a base business approach, if you will, with shaping Private Label. I’m just trying to get a sense, as we’re looking at these market share trends and which continue to be quite challenged in addition to the category dynamics, if you could comment on the Harry’s piece and how disruptive that was, that would be appreciated. And then I have a follow-up for Dan.
Rod Little: Sure. Thank you, Kevin. Good morning. U.S. Wet Shave remains the most competitive and challenging area for us globally if you look at that segment. So you put your finger right on the hot zone, if you will, in this context. The base business that we’re executing right now was not impacted at all by the Harry’s transaction deal. We built a separate stand-alone outlook for this year. And as Dan pointed out through Q2, on an organic basis, COVID onetime out of this, we’re on track, ahead of plan across every fundamental measure. And so I think our base business, we did a very nice job of segmenting our focus on getting a Harry’s transaction done until we were blocked, and running the base business and continuing to make improvements in that base business and being on plan. And so from a disruption standpoint in our base business, you would see that, right? You see the trends continuing to be not only stable but improve on some cases. The one area where you don’t see that improvement, if you’re reading end market share results in the U.S. and Wet Shave, we’re down at the moment. And we’ve built that into the plan actually. And so – we’re on plan when we’ve built with what you’re seeing show up in the shared reports right now. We knew Harry’s would go to more location. They had earned the right to do that based on the results they had at the first two retailers they went to. And so that’s a very – becomes a very exportable story. What we also have is a point in time where we knew we were at risk for some distribution changes, particularly, I think Dan called it out, at Sam’s. We are now cycling through some delistings at Sam’s Club, again, which we knew were coming and had built into the plan. So while the share reports look quite negative at the moment in U.S. Wet Shave, that was all contemplated. And as we move forward, vis-à-vis Harry’s or vis-à-vis the balance of the competition as we move into that 2021 season, I think we’re optimistic we can change those trends moving forward with a combination of better innovation coming to market, better brand messaging and targeting, better retailer relationships, and frankly, just better execution across the board. So that – if that does the first one, I’ll throw it back to you to the question for Dan.
Kevin Grundy: Yes. Thanks, Rod. I appreciate the color. Dan, the question for you on capital structure. So you guys are targeting 3 to 3.5 times. You’re well below that now at 1.9 times. But of course, there’s clearly a focus on liquidity in this environment. Maybe just talk a little bit about spending priorities. The bias has been in terms of free cash flow uses leaning towards M&A and to some extent, buyback with dividends sort of not a priority or a lesser priority. Talk about when the window for M&A kind of opens. And maybe discuss prioritization of returning cash to shareholders. What sort of that time frame looks like as best we know sitting here today? And that’s it for me. Thank you, guys.
Dan Sullivan: Sure, Kevin. And thanks for the question. I think I’ll take it in two parts. Capital allocation for us, first and foremost, as you said, we’re going to continue to maintain a strong balance sheet. We’re going to focus on ample liquidity, and we’re going to take a very balanced and highly disciplined approach, obviously, in light of this environment that we’re in and the heightened risk that are here. So our priorities within that will be to continue to invest in the business, both organically and inorganically, and Rod gave good color on what our focus areas will be there. From a leverage perspective, I said 3.0 to 3.5 times last quarter, probably in the near-term, closer to the lower end of the range, just out of prudence. And I think in the current environment, we will take a more conservative view of capital return to shareholders in light of all of that. So that’s our thought on broader capital allocation. Look, on M&A, we continue to look at accretive opportunities here. It’s an important component of our go-forward strategy, our business model and our growth. They’re likely to be in the bolt-on space, so low beta, very high comfort in integration success. And in this environment, very dislocated environment of today, we think there are both challenges but also opportunities. And well-capitalized businesses that have healthy balance sheets and strong liquidity are advantaged, and that’s the space that we see ourselves in. So we’re highly engaged in that. We’re active in that, and we’ll continue to explore those opportunities that line up well strategically and economically for us.
Kevin Grundy: Okay, very great. Thank you for that. Good luck.
Rod Little: Thank you.
Dan Sullivan: Thank you.
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Rod Little for any closing remarks.
Rod Little: Yes. Thank you, operator, and thank you, everybody, for your time today. Going back to some of the earlier comments, I think despite the environment where we’re in, we’re optimistic about the future. And I’d like to close with a thank you to our team for the resiliency and excellence they’ve shown during this time period. Stay safe, everyone.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.